Operator: Good afternoon, everyone, and welcome to the webcast of ATEC's Second Quarter Financial Results. We would like to remind everyone that participants on the call will make forward-looking statements. These statements are based on the current expectations and are subject to uncertainties that could cause actual results to differ materially. These uncertainties are detailed in documents filed regularly with the SEC. During this call, you may hear the company refer to non-GAAP or adjusted measures. Reconciliations of these measures to U.S. GAAP can be found in the supplemental financial tables included in today's press release, which identify and quantify all excluded items and provide management's views of why this information is useful to investors. Leading today's call will be ATEC's Chairman and CEO, Pat Miles; and CFO, Todd Koning. Now I will now turn the call over to Pat Miles. Please go ahead, sir.
Patrick S. Miles: Thanks, Mark. Really appreciate and welcome to the Q2 2025 financial results call from ATEC. There will be some forward-looking statements, so read that at your leisure. So I would consider this a good to great quarter. And -- so Q2 2025 financial results, the surgical revenue growth of 29%, which is about 6x the market. So I would think that, that's growth leadership. $23 million of adjusted EBITDA, which is a record for us and 13% of revenue. It improved 880 basis points year-over-year so -- which inflects us into that $5 million in free cash flow. And so the profitable revenue growth leadership has continued. And so the profitable growth continues at $186 million in total revenue. The total revenue growth was 27%. As I said, the surgical revenue growth at 29%. The way we look at same-store sales, so revenue growth in established territories was 29%. That tells you that the demand in the areas of where we have established distributors has continued to grow. It's not just adding people. The surgeon user growth of 21%, I think, speaks for itself and suggests that we're compelling adoption. I mentioned the $23 million of adjusted EBITDA marks the fifth consecutive quarter of positive adjusted EBITDA. It's 4x improvement over last year, same quarter. We are clearly well past the inflection point on profitability. We are not only leveraging infrastructure investments we've made, but we're seeing the fruits of the changes implemented last year and around expense control. We have an infrastructure in place to support over $1 billion in revenue and improving EBITDA performance combined with heightened attention on asset management has produced $5 million in free cash flow. And so again, I'm very proud of the team and what they've done. We have $217 million of cash and access to cash. We are profitable from a non-GAAP net income perspective and our voracious growth has made us the third in market share in the U.S. And so I would say that's a good quarter. And what I'll do is turn it over to Todd and let him get into the details of it.
J. Todd Koning: All right. Well, thank you, Pat, and good afternoon, everybody. I'll begin today with the second quarter 2025 P&L highlights. Total revenue was $186 million, up $40 million year-over-year. That's 27% growth compared to the prior year. The $186 million in revenue is comprised of $168 million in surgical revenue and $17 million of EOS revenue. Our first quarter surgical revenue of $168 million grew 29% compared to the prior year period. That represents $38 million in year-over-year growth. We saw no selling day difference year-over-year as we do include Good Friday in our selling day calculation because history has shown that surgical volume on that day is typically in line with other Fridays. Procedural volume growth was 28%, driven by strong surgeon adoption of 21% and increased utilization of 6%. Surgeon adoption at this pace reflects both the attractiveness of our portfolio and the coordinated investments we're making in sales talent to meet that demand. Average revenue per procedure growth was 1%, and that reflects the strong comp we saw from average revenue per case in the second quarter of 2024. Our same-store sales in the U.S. or sales that come from sales agents that have been in territory for a year or more grew 29% year-over-year, which demonstrates that we continue to grow significantly in the markets where we are already established. Our strong surgeon adoption increased utilization and same-store sales growth results are a testament to us growing both our share of wallet with existing surgeons and new surgeon adoption within territory. We know that clinical distinction drives surgeon adoption. In the first half of the year, we furthered our clinical distinction by expanding our procedural offering. This includes a new cervical retractor system, a unique segmental cervical plating system, corpectomy solutions for cervical and thoracic applications and meaningful new applications for SafeOp in MEPs. We continue to invest in the organic innovation machine, the foundation for future growth. EOS revenue increased $17 million in the first quarter, up 11% compared to last year. Demand in the U.S. market, where we have a strong presence with our implant sales force continues to be the biggest driver of growth in both deliveries and new orders, which positions us for strong system installations and the accompanied implant pull-through in coming years. Turning to the remainder of the P&L. First quarter non-GAAP gross margin was 70%, flat sequentially and down 130 basis points compared to the previous year, primarily driven by increased biologics attach rate and product mix associated with the strength in our cervical business. Non-GAAP R&D was $14 million in the second quarter, up in absolute dollars, both sequentially and year-over- year, reflecting our continuing investment in the long-term growth of the business. Non-GAAP R&D expense was approximately 8% of sales in the quarter, with top line growth driving 170 basis points of leverage. Non-GAAP SG&A of $108 million was approximately 58% of sales in the second quarter. SG&A was down $4 million sequentially, and the absolute increase in SG&A year-over-year was driven by variable costs related to our 29% increase in surgical revenue. The remaining nonvariable SG&A was down in absolute dollars year-over-year. These reductions in absolute dollars of SG&A spend reflect the changes we've made to how we operate the business to increase emphasis on driving profitability and cash flow. SG&A improved nearly 1,100 basis points year-over-year with 800 basis points coming from both variable expense rate improvement and infrastructure leverage. Approximately 300 basis points of improvement came from leveraging the depreciation associated with our prior year instrument investment. We reported total non-GAAP operating expense of $122 million, which was approximately 66% of sales. By maintaining discipline as we support strategic growth initiatives, we delivered a modest 7% increase in operating expenses while continuing to invest in the growth drivers of the business. Those efforts, along with our durable top line growth drove over 1,100 basis points of expansion in our operating margin year-over-year. I'll turn next to adjusted EBITDA, which was $23 million or 13% of sales in the second quarter compared to $6 million and 4% of sales in the prior year period, an $18 million increase. This is the best performance we've had since the start of ATEC's transformation. The quarter also marks our third consecutive period with an over 40% drop-through on year-over-year revenue growth to adjusted EBITDA, reflecting both infrastructure scalability and an improving variable selling expense profile. You can see in the chart on this slide that the profit margin expansion that we are executing has been both significant and consistent. Our trailing 12 months of adjusted EBITDA now sits at $62 million. We're driving meaningful margin expansion that aligns with the priorities outlined in our long-range plan and as a result of disciplined execution. These deliberate results give us great confidence in our ability to continue delivering on our financial commitments and translate revenue growth into profit and cash flow. Turning to the balance sheet. We ended the first quarter with $157 million in cash on hand. Additionally, we had access to $60 million of available borrowing on our revolving line of credit, which was undrawn at quarter end, making our total cash and available cash $217 million. Our positive free cash flow of $5 million was again at the favorable end of the $0 to $5 million range that we previously communicated. A record $16 million in cash generated from operating activities allowed us to continue investing in surgical instruments, while we're still delivering positive free cash flow and increasing our overall cash balance sequentially by $4 million. We can clearly see the company's inflection to cash flow generation is taking shape with our trailing 12 months of cash use improving to $22 million this quarter. This year, we are seeing the benefit of the operational improvements we've been making. Everything from how we plan our inventory purchases to our hiring plans to the operational standards for field assets. I'm very proud of the cross-functional teamwork and results we've delivered in this area across our company. Execution against those goals contributed to our positive free cash flow in the second quarter and the underlying dynamics of the business reinforce our confidence that we will be cash flow positive for the full year. Given the magnitude and increasing trend of EBITDA we are generating, our laser focus on managing assets efficiently and the strength of our cash position, it is clear we will not need additional financing. Our financial outlook for this year expects continued strong revenue growth to drive incremental profit margin expansion. We are increasing our full year revenue guidance by $8 million to $742 million, as a result of the strong Q2 performance in our surgical business. Our revenue outlook for the full year '25 expects adoption of our unique procedural approach to drive surgical revenue of approximately $666 million and we expect EOS revenue of approximately $76 million. As it relates to free cash flow, our second quarter performance further reinforces our confidence in delivering positive free cash flow for the full year 2025. With respect to the cadence of our cash flows for the remainder of '25. We expect the third quarter free cash flow to range from a positive $1 million to positive $5 million, with the fourth quarter generating additional positive cash flow resulting in us being cash flow positive for the full year 2025. Turning to the outlook for the full year 2025 adjusted EBITDA, we expect sales growth to continue to leverage the infrastructure we've built, contributing to an adjusted EBITDA of $83 million, a $5 million increase versus our prior guidance of $78 million. Notably, our trailing 12 months of adjusted EBITDA of $62 million as of the second quarter speaks to our ability to deliver on our full year commitment of $83 million. As a reminder, our adjusted EBITDA guidance includes us absorbing the impact of expected tariffs in the second half of the year. We continue to estimate the impact of tariffs on our cost of goods sold to be in the low single- digit millions of dollars for the full year. We are off to a great start at the half year mark and have confidence we can deliver on our commitments in the back half of the year. The chart on the slide depicts the consistency of the profitability progress we are making and the tremendous power of our business model to drive future profitability. Our adjusted EBITDA guidance of $83 million will generate an adjusted EBITDA margin of 11%. That implies a 40% drop-through of the incremental growth in revenue dollars to adjusted EBITDA. This trajectory positions us well to achieve our 2027 adjusted EBITDA margin goal of 18% at $1 billion in revenue. Now reflecting on where our financial results are at the midway point through the year, I'd highlight a few things. First, we continue to grow at 5 to 6x that of the overall market. Second, we've generated $62 million of adjusted EBITDA over the last 12 months and are at 13% of sales in the second quarter. Third, we have our first quarter of non-GAAP net income of $3 million. And fourth, we have delivered free cash flow of $5 million this quarter. I think it is safe to say we've passed the inflection to profitability. It's exciting to see the team's hard work paying off as we've arrived as a profitable growth company. And with that, I'll turn the call back to Pat.
Patrick S. Miles: Thanks, Todd. Greatly appreciate it. I want to give you some meaningful reflection as to where the growth is coming from and why the growth is happening. I would tell you that the strategy is steadfast. Our execution relentless. We are executing and fulfilling the commitments. The pillars of our business are really, are we doing something better clinically? Are we creating clinical distinction? Clinical distinction does compel surgeons, and we are compelling surgeon adoption, I think it's reflective of the 21% new surgeon growth, and we continue to expand and elevate the sales force. So I think under the auspices of those 3 pillars, I think a lot of good things are going on. I want to explain a little bit. We've made statements in the past of things like the spine market needs ATEC. And that is not a boastful comment. What it does is it's intended to express just how unsettled the spine market is. If you have 10 spine surgeons, how to address the same patient, you'll get 10 different answers. The reason for this is that spine is highly complex. It is brought with a myriad of variables that undermine durability. And so when you start to look at the revision rate in spine surgery versus total joints, we're going to find that the spine revision rates are multiples of total joints. And looking at the graphic, you can see total hip surgery in 10 years is around 5%, total knee surgery in 5 years is 3%. And then you're getting 15% to 25% to 30% in short and long segment spine surgery. And so I would suggest that, that is a reflection of a lot of variables that need controlling. Historically, industry's response has been more widgets or tools to increase the placement precision of the widgets. And I would suggest that, that's not enough. It's why our view is that the challenges are much more complex and the solutions require greater sophistication. It is really what -- that's what drove the design and development of our ecosystem that not only addresses intraoperative channel, but also improves care through data-driven decision-making. And so when you look at what we've built, we have built an ecosystem that's scalable for a long run. It is why we previously invested in a technology infrastructure that will fuel durable long-term growth and profitability. Having previously made these investments enables us to focus our R&D efforts on magnifying the values of each individual technology and then integrate them into a fully comprehensive system. So our end-to-end ecosystem enables -- influence not only in the interoperative phases of spine surgery, which has historically been where spine companies are focused, but also informs preoperative decision- making as well as postoperative analytics, outcomes and trends. So all of this information is set into the insight portal that uses AI and machine learning models to better inform decision-making. And so we believe that these are profoundly important elements that drive a long-term growth profile based upon the many challenges in spine surgery. So our foundational informatic investments several years ago in SafeOp, Valence and EOS enable our ecosystem really to come to life. And we're in the process of architecting informatics and spine procedures into the very best integrated experience, something else that's not been done in spine surgery. Recall the goals of spine surgery. It's decompression, stabilization and alignment. And providing information about the nerves is of foundational importance with SafeOp, be it the location of the nerve, the health of the nerve, the status of the nerve. These are foundational elements of a successful interoperative experience. Assuring precision during implant placement or stabilization with navigation robotics through Valence, it is a piece of the pie, not the whole pie, but another foundation of foundational importance as it relates to the goals of spine surgery. And then providing not only alignment parameters and tools for interoperative assessment and reconciliation for which to align the spine as well as providing patient-specific implant as required. And so since Valence is the next piece of the puzzle to be launched, I want to spend just a moment on how we will approach the market. First and foremost, ATEC is a procedure company. Valence will be integrated directly into the step-by-step workflow of our proprietary spine procedures, things like PTP. And so navigating that front of the spine, the anterior column with both neurophysiology from a neuro perspective and navigation is elegance. And so using the robot to assist in screw placement in the back will be the first fully integrated system. What this does is it democratizes the technique to a much broader surgeon audience who have previously been apprehensive because either they did not train or just unfamiliar with lateral surgery. So we see this as another catalyst. The system will have a very small footprint, which we want to, again, take up little room in the operating room. And lastly, we will be very, very aggressive in terms of how we place them. And so our goal is the very best integrated system possible. And so -- if you look at what we're doing, really, what we're doing is utilizing objective measure that enables variable mitigation. I think where others approach the industry through the proliferation of widgets, we're taking the approach of variable mitigation through objective measure. We're objectifying the spine experience. That means bringing measure and supplying more scientific tools to the surgeon versus just relying upon surgical experience or the staff. Like so many other fields by bringing objectivity, we will further the predictability and impact the durability that's so much needed. A key to this strategy is automation. We must be able to collect and translate data that will improve surgery in an automated way. History has demonstrated that it won't get done if it requires a manual process. We're in the very early stages of informing our spine procedure through data mined from our ecosystem. So a good ways to go. And so the interest is to make sure that one appreciates why we say that the spine market needs ATEC. So when you appreciate the unacceptably high revision rates in spine, you have to realize that our approach to variable mitigation is resonating with customers. The numbers suggest as much as well as attracting the best salespeople. That is why we say the spine market needs ATEC. It should be -- it should not be a surprise that after 6-plus years of growing at multiples of the rest of the market, we are now the third largest U.S. spine player. We have and will continue to benefit from the dislocation and disruption in the spine market. However, our ecosystem and procedural strategy will continue to fuel our outsized profitable growth. As we've said for some time, we will continue to be rewarded by focus. And so with 100% focus on spine, combined with a team that has unmatched clinical know-how and expertise added to a perpetuating effort to create the very best sales team in the business makes ATEC far and away the preferred destination. And so I will remind you that we are just getting started. Our ecosystem has years to reflect in improvement and our best is truly yet to come. So a quick thanks to the ATEC's people, it is them that's creating this juggernaut. And with that, we will take questions.
Operator: [Operator Instructions] And the first question comes from the line of Matt Miksic with Barclays.
Matthew Stephan Miksic: I just congratulate you on a really strong quarter top line and the direction of cash flows is really encouraging and impressive. So congrats. I wanted to ask a little bit about, Pat, your question that I get as well as everything is going, of course, is going well, folks start asking for something else. But as strong as the top line has been, as robust as the lateral and prone lateral has been on the enabling technologies side and sort of digital side, maybe 2 parts of one question. What do you anticipate to make the robot different when you do start to put that out in front of folks more and get a more routine look at it? And then also, what kinds of investments are you having to make or have you made to kind of support the integration of, as you point out, like a turnkey front-to-back solution imaging to automation and enabling technology.
Patrick S. Miles: Yes. Matt, it's cathartic for me to look back on some of our original discussions on robotics. And it's fascinating to me that historically speaking, I recall when we assembled multiple products to make for a procedure, the response of the marketplace was, hey, we have a retractor. We have a neurophysiology piece in our ENT group, and we have an implant -- a bunch of implants. And one of the problems when you look at the unacceptably high revision rates in spine surgery is that nothing has been designed and developed for the requisite utility within a specific patient population. And because there's such a volume of variables in spine, what happens is that everybody just creates generalized equipment. And I think what makes us different is the procedural architecture of very specific application. And one of the real opportunities in navigation robotics is to integrate these elements into the workflow of a spine procedure. And so it's amazing, right? It's like here's us coming out with lateral surgery, and we have a tremendous run rate. And the reason we have a tremendous run rate is because there's a unique know-how in terms of the assembly of goods. And I would tell you it's the same thing with regard to navigation robotics. I could care less about navigation robotics. What I care about is the reproducibility associated with the surgical experience that requires precision. And if navigation is a tool that provides us increased precision without radiation, I want to integrate that in, in an unbelievably elegant way. And so where we see the reward in navigation robotics is in the integration of the workflow associated with the spine procedure. We have an interoperative camera. That interoperative camera has a very unique ability to be moved around during the case such that it gets the best view and there's no one standing in front of it in the operating room. If you guys and the investment community could stand in the operating room, you'd appreciate the chaos that exists and to create an elegant workflow where it's all about execution using all of the EOS elements about how you're going to do something based upon creating a surgical plan, integrating that surgical plan and all elements into it such that the robotic piece becomes informed by what the plan is and understands angulation, pedicle volume and all the other elements such that the operating room just becomes an execution place. And so our view is that these things just become part of procedures that ultimately get wrapped into a workflow and that what we have the opportunity to do is make the operating room something that just is all about execution and not about on-time clinical decision- making. And so we want that to be done before the surgery starts, and then we'll assess how we did after. And we think that, that kind of ecosystem informs better surgery.
Operator: Your next question comes from the line of Young Li with Jefferies.
Xuyang Li: I guess to start, just kind of curious, really strong same-store growth. I was wondering how much of the contribution is from the reps added maybe 2 years ago? And how much is being helped by the availability of more instrument sets from last year's investments as well as some of the efficiency initiatives with these instruments and instrument utilization.
Patrick S. Miles: Let me start off with the subjective and give Todd the harder job on the objective. The -- first of all, like half the time, I think to myself, are we communicating the success of the internal teams thoughtfully enough? And that's what it's like I would tell you we've evolved as an operational institution. And you start to think about the utility of assets, and we have matured immensely. And I would tip my hat to the team who ultimately is responsible for that effort. And so I would tell you that the same-store sales dynamic is we're compelling people. And there -- you could believe it or not, is all you're going to see is a continued growth profile from elevated sophistication in the field, and we will continue to compel people. We love adding people who are relevant and also people who buy into the surgical thesis. And so I can't quantify it. I'll defer to Todd's view with regard to the increase. But that's why we love the same-store sales so much is because it's reflective of a demand profile that when we say, gosh, we're creating clinical distinction, there becomes a proxy for compelling adoption, and it's just not us popping off with regard to, hey, more people are doing it.
J. Todd Koning: Yes. And I think there's a couple of ways to think about it. I mean, clearly, the people we've brought on board over the last 12, 18, 24 months have been significant contributors to our growth. And we know that's true because as we say, what we do today impacts results 12 to 18 to 24 months from here. And I know it's true because I can see the data. I think what's more important or the way I like to think about it is it's really about the surgeon adoption and the surgeon utilization. And you saw both utilization and surgeon adoption be very strong in the quarter. And I think that speaks to the penetration story. And so it's kind of tied to Pat's commentary about same-store sales being strong. But clearly, we're getting greater utilization with our existing surgeon base as well, which I think we've talked a lot about as people get comfortable with our procedures, they apply those procedures to more complex procedures, and we kind of get a greater share of wallet over time as you -- I think we're seeing that play out. As it relates to our efficiency and the utilization of our instruments, I mean, clearly, as we've bought forward. I think that buy forward certainly has enabled us to continue to lean into our growth opportunities. We continue to do that. I think the operational sophistication that Pat speaks to has been another leg to that -- another degree of freedom for us to really be placing assets and instruments where there's opportunities. And then what we're doing is we're monitoring the progress of the success of those opportunities better so that we are ensuring that we're getting the kind of utilization of the assets that we need. So we've elevated our operational sophistication significantly, which has continued to really enable our outsized growth that we've seen.
Xuyang Li: Congrats on taking the third share in the U.S.
Operator: And your next question comes from the line of Vik Chopra with WF.
Vikramjeet Singh Chopra: Congrats on a nice quarter. Two for me. You're guiding to over 20% organic growth this year. Maybe just talk about any puts and takes to consider as we build out our models for Q3 and for the rest of the year? And then I had a quick follow-up, please.
J. Todd Koning: Yes, Vik, I think when I look at where we came into the year, I think we guided to $732 million, we're now halfway through. We're at $742 million. So it's a $10 million increase since we initially guided into the year. We feel pretty good about that. I think the normal cadence of some sequential step down Q2 to Q3 is typical. I think that's kind of where the second half modeling will probably shake out relative to seasonality, if you will. Does that help?
Vikramjeet Singh Chopra: Yes, that does help. And maybe just a quick update on your robot launch plans. And are you still on track for early 2026? And will we see it in NASS?
Patrick S. Miles: The answer is yes and yes. No, it's kind of much like I was going through my diatribe with Matt. It's -- we are doing the alpha on the robotic piece, and it continues in earnest. You'll see the navigation piece added. And so we'll be doing cases by the end of this year with the combined system in the market and then expect the influence to be 2026. But I guess as much as anything, I'm just -- I'm super proud of what the reflective utility looks like to see a PTP, which clearly is something that's near and dear and watch it through a navigated and robotic experience, it's exceedingly elegant. And so it provides me nothing but confidence in its influence of a broadened footprint. And so one of the really nice things is just because the footprint is not very big, the influence can be very big. And we love the fact that we're not pushing in a monster piece of equipment that oftentimes is delivered in a semi-truck. What we're doing is bringing in something that could be delivered in a suit case. And -- but the key is the influence clinically. And I think that based upon the design sophistication of our guys in Colorado and our guys in San Diego, who have been awesome. The -- I think it's an extremely sophisticated small footprint tool that ultimately is going to be exceedingly effectual. And we're going to try to put it in as many places and be as disruptive as we can possibly be.
Operator: And your next question comes from the line of Matthew O'Brien with Piper Sandler.
Anna Sophia Runci: This is Anna on for Matt. You had another quarter of strong surgical volume growth, I think, 28%. And I'm just wondering if you could give a bit more color as to really what drove that? And then maybe if you could split that out between what you're seeing in the ASC versus the hospital sort of the trends there and your expectations going forward?
J. Todd Koning: Yes. I think when you look at -- maybe I'll take the second question first to get out of the way. Our ASC mix is certainly sub-10%. I mean it's not big at this stage, but certainly an opportunity, I think, for spine in general to kind of grow and influence for sure. And I think we're well positioned for that because oftentimes, the ASC is really about patient selection. And I think when you think about patient selection, you think about how do you select those patients. And I think EOS and EOS Insights are a great tool for that. But...
Patrick S. Miles: It's about controlling pain, too. And it's a morbidity dynamic. And so I think all of our minimally invasive stuff is right for that. But again, I think it becomes a surge dynamic for who should be selected within that realm.
J. Todd Koning: So I think that's the answer on the ASCs. The question we had on our growth in the quarter and what really drove the organic sales growth. I mean, clearly, volume was a big piece of that. I think in this quarter, we saw a bit more utilization contribution than we have in quarters past and feel good about that. I think the overall dynamic is we continue to compel surgeons and we're continuing to fuel that or support that surgical interest, that surgical adoption with the right sales force. And I think oftentimes, people kind of get it backwards, like, I'm going to go hire the sales guy and he's going to drive the adoption. But in reality, I think people are drawn to what we're doing. Clearly, the disruption in the market from a company standpoint has made fertile hunting ground for finding the right people to support the adoption and the demand from a surgical standpoint that exists. And so we really feel good about the dynamics of the marketplace. We love our portfolio. We're making -- we continue to make investments in the portfolio. I talked about a number of areas that we launched in the first half of this year that should continue to be tailwinds into the second half in terms of specific portfolio additions. So we feel like we're in a good spot at the halfway mark.
Operator: And your next question comes from the line of Josh Jennings with TD Cowen.
Joshua Thomas Jennings: I echo the congrats on the strong print. Maybe a follow-up to the last question just to build on your answer, Pat and Todd, just on the drivers of the growth. I mean the PTP, LTP, lateral franchise seems like continuing to gain share in the U.S. lateral market. And then you have these new products, as you've called out with the cervical tractor, cervical plating, corpectomy, I think deformity. Maybe just help parse through the outperformance so far in the first half of the year? Has it been more weighted towards driven more by the lateral business or some of these new product introductions? And on top of that, maybe talk about the halo effect that you're experiencing with nonlateral products.
Patrick S. Miles: Yes. I would say it's a bit like you described. I think some of the initiation of people's interest in ATEC has been in the lateral realm. And there's a sophistication with guys like surgeons like Luiz Pimenta, Bill Taylor and the people who originally built the lateral franchise are kind of the foundational leaders of what we've built here. And so I think that there's such a sophistication that I think that becomes the original. And that's really kind of been the growth driver. But to your point, what we're seeing now is that much like SafeOp has informed lateral surgery, we're seeing EOS informing deformity. And so now we're starting to see, gosh, these guys are starting to integrate the information that comes out of EOS into the -- not only the surgical plan, but the deformity structure of what they're trying to build from a long construct perspective. And so what we're seeing and what makes us so bullish is just the relevance of the ecosystem. And candidly, I don't think that we've even begun to see our EOS influence yet Clearly, we haven't even launched Valence. And so I think that there's 2 elements -- that will ultimately be a very integrated ecosystem that hasn't even started. And so we see those things taking place, and we understand kind of the relevance of the technology, and we see that playing out with confidence. And that confidence drives things like cervical that are more difficult to distinguish, but what we're seeing is an opportunity to distinguish ourselves in those routes. Again, the distinguishment may be slightly more sophisticated, slightly less grand, but there's still meaningful surgical distinctions that ultimately drive a confidence surgically that people are applying the goods. And so I think that the turn coined of the halo effect is a great one because it's reflective of just an expanded confidence in what we're trying to build.
Joshua Thomas Jennings: Great. And my follow-up, I mean, it's related and really just looking at the surgeon user growth acceleration 2Q versus 1Q. I mean, are you attributing that to -- I mean, clearly, the success in the market portfolio build-out, but similar kind of frame up, I mean, are you seeing more lateral surgeons come in? Or is the expansion of the portfolio driving that surgeon user growth acceleration because more surgeons are coming in for nonlateral ATEC procedures and then products.
J. Todd Koning: Yes, Josh, I actually think when you look at it, it's that we're just garnering broader interest and we're getting just a broader level of influence and attracting a broader set of surgeons. And I think we -- internally, we could point to a number of them.
Patrick S. Miles: It's been fascinating, and I think you'll appreciate this, Josh, is that if you look at our market share and then you look at our market share where the EOS, it's meaningfully bigger. And I don't want to get into the numbers of it, but I will tell you, we've not yet reflected the value of it in the ecosystem description as we have outlined it. It's still like all of these things are coming to fruition. But again, we're seeing an outsized market share in those places where we have an EOS part because guys are utilizing, guys are interested in our goods, our ability to infiltrate those accounts is high. And so I would say that we've never had a bigger interest from academic institutions as we have in the last half year. And so again, I think it just speaks to we're getting in front of more fellows. We're being more relevant from an academic perspective. And just we continue to see an expand in the volume of surgeons interested in what we're doing.
Operator: And your next question comes from the line of Ben Haynor with Lake Street Capital Markets.
Benjamin Charles Haynor: First off, just on the penetration story and some of the EOS commentary that you just mentioned there. Can you maybe talk about what you've seen from some of the geographies that you've historically or recently been under-indexed to? I mean, it clearly seems like there's a tipping point where you guys compel adoption with individual surgeons, individual facilities. But how does that play out on a kind of a geographic basis? Is there a concentration that kind of gets you -- gets the adoption accelerating?
Patrick S. Miles: Yes. Let me take a shot at just kind of the generalities around it. Those of you who have been in spine for a long time appreciate that the EOS image is far and away the most coveted image in spine. It's not even -- it's undeniable. Having an active position, a weight- bearing position and understanding in space where I need to pick someone from an alignment perspective is of substantial value. And so what we've seen is historically, a lot of academic institutions utilize that technology in a way that ultimately they're yearning for some translation ability to. They see us bringing a translational tool to that effort and they become enthusiastic with regard to where it could go. When you start to think about the volume of variables that undermine the durability of spine surgery and you say, what is missing? And what's missing becomes of the informatic or the predictive nature of things. And what EOS provides is a foundational standard by which you can ultimately create a predictive environment and so their enthusiasm is for us to push in from an informatic perspective such that we can get to a predictive state. And that's where I would tell you, what's the value of a company that ultimately furthers the durability of an environment from 25% to 10% or less and then 5% or less. I think that's real value creation. And that's how we're serving the interest of the space, and that's why we see the academic institutions run to us.
Operator: And your next question comes from the line of Caitlin Cronin with Canaccord.
Unidentified Analyst: It's [ Michelle ] on for Caitlin. Congrats on the strong quarter. There's 2 from us, but maybe I'll ask them together. You raised guidance a bit more than the beat. Can you maybe give a little bit more color on where we can expect the increased expectation in the second half? And then two, if there are any changes to free cash flow generation expectations and the timing of the cash through this year?
J. Todd Koning: Yes, [ Michelle ], thank you for your question. So relative to the guide, I think we look at where we came into the year at $732 million. We're now sitting here at $742 million on the full year. And to your point, we did raise the second quarter guidance here or the guidance here in the second quarter for the full year by a bit more than the beat. We would expect that to kind of land in the third quarter. So I think as I shared earlier, we would expect a sequential step down in absolute revenue Q2 to Q3. And then that Q3, though still is probably a bit higher than where the Street is at today relative to the points I just made in terms of where we would expect that back half raise to show up. As it relates to cash flows, our expectation for the third quarter would be a range of plus 1% to plus 5% and then positive again in the fourth quarter so that we would be, again, positive on the full year. So what I would tell you is we haven't really changed our cash flow guidance. We continue to land on the favorable end of the range, and that continues to give us confidence that we can deliver on the commitments we've made. I think just overall guidance philosophy, as you probably experienced has been we try to put numbers out there that we believe we can achieve and have a reasonable opportunity to exceed. So that's how you should think about the guidance.
Operator: And your next question comes from the line of David Saxon with Needham.
David Joshua Saxon: Congrats on the quarter. Juggling a couple of calls, so I'll just keep it high level, and hopefully, this hasn't been answered or asked. Just on the portfolio, motion preservation is something you don't have. I think you've talked about it in the past. But just given your focus on lateral and PTP, I guess, how critical is filling that gap just to your overall growth outlook?
Patrick S. Miles: Yes. I would say, I think motion preservation in a well-selected patient is good surgery. But the reality is we have so much work to do with regard to our current ecosystem. And I think there's so much promise in terms of what we're doing. We're going to let the other guys do the motion preservation stuff for a while. And so what we're going to do is we're going to exploit an asset base that is best-in-class and there's so much opportunity to run with that. We can't be more enthusiastic. The level of sophistication in our neurophysiology group is outlandish. The level of sophistication in our navigation robotic group, outlandish. The sophistication in the imaging group is unbelievable, same with the mechanical side. And so it's like let's exploit what we do unbelievably well. And so that's kind of who we're going to be. And so for as far as the eye can see at this point, that's who we are, and it's been reflective of a reasonably good run rate.
Operator: And your next question comes from the line of Jason Wittes with ROTH.
Jason Hart Wittes: Congrats on solid performance. First off, maybe just a financial question. In terms of CapEx spend for the year, I guess we can back into it, but how should we be sort of modeling this going forward? I mean what's your philosophy on CapEx? It sounds like you guys are committed pretty much from here on to positive free cash flow. So how does the CapEx kind of work into that assumption?
J. Todd Koning: Yes, Jason, I think the bulk of our CapEx spend is in instrumentation to support surgical growth. And so as we've talked about it, and we laid this out in our long-range plan construct is that for every dollar of year-over-year surgical growth, we invest $0.75 into inventory and instrumentation. And that instrumentation part, of course, in the cash flow statement shows up in PPE&E. Obviously, the inventory stuff shows up in working capital and inventory and operating cash. So that's where it shakes out. I made the comment in my prepared remarks that we generated $16 million of operating cash, inclusive of our investment in inventory and then spent about $9 million or $10 million in surgical instruments, and we netted out $5 million of positive cash flow. And so that should give you a sense for how that shakes out within our cash flow. And you can kind of look at that line historically. And I think as we think about growth, the inventory and the instrumentation is a $0.75 on the dollar ratio of dollar growth year-over-year.
Jason Hart Wittes: That's very helpful. And maybe just one quick other question on EOS. In terms of the revenue you're reporting, that's -- I assume that's specifically for capital sales. But can you give us a sense of how much of your business is capital sales versus some kind of purchase agreement type arrangement at this point with EOS and how that's sort of shaping out?
J. Todd Koning: Jason, the way it shakes out is about $5 million a quarter or so is in a recurring revenue stream, maintenance and warranty and the like, and then the balance is capital.
Jason Hart Wittes: But in terms of your sales -- of your approach to the market, are you selling most of your systems?
J. Todd Koning: Yes. We primarily sell the systems.
Operator: And your next question comes from the line of Sean Lee with H.C. Wainwright.
Sean Lee: Congrats on a great quarter. So I was wondering, a main pillar of the company's growth strategy is to expand the surgeon user base into new procedures that these surgeons have never tried before, whether PTP or deformity. So I was wondering maybe do you have any evidence of the anecdotal stories on how many of these new surgeons have you seen that are trying the new procedures among the ones that come in for training?
Patrick S. Miles: Yes. I guess just from an anecdotal perspective, I think one of the frustrations of lateral surgery historically has been if the goals of spine surgery are decompression, stabilization and alignment, the lateral position is a more difficult position for which to realign a patient. Additionally, it's a very difficult position to place pedicle screws. And so what's happened with regard to PTP or Prone Transpsoas is they're in a much better position by which to garner the alignment or lordosis as well as to do -- have access to both the front and the back of the spine. And so what we've seen is people who have historically dismissed lateral as a surgical tool, I think get reinvigorated by the fact that there are so many options provided by a prone position lateral approach that they, in essence, increment their way back into a level of interest. One of the things that it feels like is we've inspired a fair amount of enthusiasm around the PTP thing and there are certain people who have not trained in lateral surgery who I think will be helped or assisted by navigation. And so to be able to take navigation and integrate it with neurophysiology into the workflow of surgery, we feel like that just opens up or democratizes more people's interest in that technique because I don't think that anybody doesn't want to have that in their armamentarium of tools to apply to patients. It's more a matter of where are they comfortable. And so there are ways that we can make people comfortable through technology is what our interest is. And we're seeing that being played out in real time. So anecdotally, that's what I think.
Operator: There's no further questions at this time. I will now hand it over to Pat Miles for closing remarks. Pat?
Patrick S. Miles: Yes. I would just end like the last slide says is our best is yet ahead. And we have a heck of a run in front of us. We want to be the preferred location or destination to the best of the best salespeople to translate the type of things that are going on in here. So anyway, thanks, everybody, for your support and interest in ATEC.
Operator: That concludes today's conference call. You may now disconnect.